Operator: Good day, and welcome to the OFS Capital Corporation Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to hand the call to Steve Altebrando. Please go ahead.
Stephen Altebrando: Good morning, everyone, and thank you for joining us. Also on the call today are Bilal Rashid, our Chairman and Chief Executive Officer; and Kyle Spina, the company's Chief Financial Officer and Treasurer. Before we begin, please note that the statements made on this call and webcast may constitute forward-looking statements as defined under applicable securities laws. Such statements reflect various assumptions, expectations and opinions by OFS Capital management concerning anticipated results are not guarantees of future performance and are subject to known and unknown risks, uncertainties and other factors that could cause actual results to differ materially from such statements. The uncertainties and other factors are in some way beyond management's control, including the risk factors described from time to time in our filings with the SEC. Although we believe these assumptions are reasonable, any of those assumptions could prove incorrect. And as a result, the forward-looking statements based on those assumptions also could be incorrect. You should not place undue reliance on these forward-looking statements. OFS Capital undertakes no duty to update any forward-looking statements made herein, and all forward-looking statements speak only as of the date of this call. With that, I'll turn the call over to Chairman and Chief Executive Officer, Bilal Rashid.
Bilal Rashid: Thank you, Steve. Yesterday, we announced our second quarter earnings. Our results were in line with our preliminary earnings announcement on July 15, which we issued in advance of our bond offering. As for the second quarter results, our net investment income was fairly stable at $0.25 per share compared to $0.26 per share in the prior quarter. Our net asset value at June 30 was $10.91 per share compared to $11.97 per share in the prior quarter. This drop in NAV was primarily due to a decline in the value of our equity investments. This includes a decrease of $7.8 million on our equity investment in Pfanstiehl Holdings. Overall, the health of our credit portfolio remained stable with no new nonaccruals. We continue to work on improving our net investment income in the long term by rotating certain noninterest-earning equity positions into interest-earning assets, specifically by continuing to explore potential ways to monetize our minority equity investment in Pfanstiehl. This is our largest position in the portfolio with a fair value of approximately $83 million at quarter end. Fundamentally, we continue to believe in the long-term prospects of this portfolio company. At the same time, we also realize that achieving a near-term exit of this position provide us with an opportunity to improve our net investment income and mitigate concentration risk. However, we understand that achieving this short-term exit may come at the cost of realizing the full fundamental value of the investment. As we have previously discussed on these calls, our investment in Pfanstiehl over the last 11 years has generated approximately $3.9 million in distributions or approximately 18x our cost, which was only $200,000 in 2014. In terms of our view of the economic outlook, there continues to be significant uncertainty surrounding tariffs and U.S. monetary policy and the potential impact this may have on our portfolio companies is unclear. That being said, we remain satisfied with the current overall quality of our portfolio with no new nonaccruals this quarter, as I just mentioned. We believe that we have constructed our loan portfolio to withstand the challenges of this continuing uncertain macroeconomic environment, specifically by avoiding highly cyclical industries and maintaining strong diversification. We remain focused on investing higher in the capital structure with 100% of our loan portfolio in first lien and second lien senior secured loans. As we navigate these uncertain times, we are focused on maintaining a consistent dialogue with our portfolio companies and supporting them with additional capital, if appropriate. As it relates to new originations, M&A activity has remained subdued for the year. We believe that the macroeconomic uncertainty will continue to impact the prospects of increased M&A activity in the second half and therefore, we are continuing to be cautious in deploying new capital. As I mentioned at the top of my remarks, shortly after quarter end, we began the process of refinancing our $125 million unsecured notes that are maturing in February 2026. Given the size of those notes, we thought it was prudent to take advantage of receptive market conditions to start paying them down and extend our overall debt maturities. In July, we completed a $69 million unsecured note offering in a leverage-neutral transaction. The new notes mature in July 2028, carry a 7.5% coupon and have a 1-year no-call provision. Of the $125 million outstanding on February 2026 notes, we intend to pay off a total of $94 million in August. These efforts reinforced our capital position, which we believe provides us operational flexibility. 74% of our outstanding debt is unsecured at the end of the quarter. Our nonrecourse $150 million floating rate facility with BNP Paribas matures in June 2027. Finally, our $25 million Banc of California, floating rate corporate line of credit provides us additional liquidity and flexibility. As we look to navigate this market, we will continue to rely on the long-standing experience of our adviser, which manages approximately $4.1 billion across the loan and structured credit markets, has expertise in multiple asset classes and industries and has a more than 25-year track record through multiple credit cycles. At this point, I'll turn the call over to Kyle Spina, our Chief Financial Officer, to give you more details and color for the quarter.
Kyle Spina: Thanks, Bilal, and good morning, everyone. As Bilal mentioned, we posted net investment income of $3.3 million or $0.25 per share for the second quarter, which was down $0.01 per share from the first quarter. Top line income increased $181,000 quarter-over- quarter. However, expenses increased by $363,000, leading to a slight decline in net investment income. We announced that we are maintaining our quarterly distribution at $0.34 per share for the third quarter of 2025. At June 30, our quarterly distribution rate represented a 16.1% annualized yield based on the market price of our common stock. We continue to evaluate the level of our distribution in light of the current macroeconomic environment and in consideration of the new cost of our debt capital. We remain focused on improving our long-term returns while concentrating on preserving capital. Our net asset value per share decreased by approximately 9% or $1.06 this quarter, primarily attributable to net unrealized depreciation on our investment portfolio. As Bilal described, the depreciation was most pronounced in our equity holdings, including $7.8 million of unrealized depreciation on our equity investment in Pfanstiehl. As we have mentioned before, we continue to pursue the potential sale of this minority equity position. We had no loans placed on nonaccrual during the quarter, and our loan portfolio was generally stable based on our internal credit ratings. At quarter end, our regulatory asset coverage ratio was 160%, a decrease of 5 percentage points from the prior quarter and approximately 74% of our outstanding debt was unsecured. As Bilal discussed, subsequent to quarter end, we closed a $69 million public bond offering with a 7.5% coupon and a 3-year maturity. We intend to utilize the proceeds from this offering to partially refinance our 4.75% unsecured notes scheduled to mature in February 2026 and a leverage neutral transaction. We believe this new issuance is an attractive pricing in the current market, though, obviously, it is wider than where our existing notes were issued in early 2021 in a near 0 rate environment. Now turning to the income statement. Total investment income increased approximately 2% to $10.5 million this quarter. This was primarily driven by nonrecurring fee income recognized during the quarter and a modest improvement in our loan portfolio yield. Total expenses increased modestly by approximately 5% during the period to $7.2 million. Turning to our investments. We believe the vast majority of our loan portfolio remains healthy, while we continue to closely monitor our handful of borrowers performing below our expectations. As mentioned, we had no new nonaccrual loans in the second quarter. With respect to our loan portfolio, we are committed to being senior in the capital structure and selective in our underwriting, with 85% of our loan holdings being in first lien positions based on fair value. During the quarter, we invested $7.9 million in a new middle market debt investment. In addition, we continue to focus on add-on opportunities for growth with our existing issuers and as of quarter end had $16.1 million in unfunded commitments to our portfolio companies. The majority of our investments are in loans and 100% of our loan portfolio was senior secured at quarter end. Based on amortized cost as at quarter end, our investment portfolio was comprised of approximately 70% senior secured loans, 23% structured finance securities and 7% equity securities. At the end of the quarter, we had investments in 60 unique issuers totaling $382.7 million at fair value. On the interest-bearing portion of the portfolio, the weighted average performing investment income yield increased modestly to 13.6%, which is up about 0.2% quarter-over-quarter. The increase in yield was primarily due to the net contribution from the aforementioned new investment in our middle market loan portfolio. This metric includes all interest, prepayment fee and amortization of deferred loan fee income but excludes syndication fee income, if applicable. With that, I'll turn the call back over to Bilal for concluding remarks.
Bilal Rashid: Thank you, Kyle. As we continue to navigate the current macroeconomic uncertainty, we believe our portfolio is defensively positioned to withstand the pressures of this challenging environment. We had no new non-accruals in the quarter. Our portfolio remains diversified across multiple industries, and we continue to be committed to investing higher in the capital structure. Looking ahead over the long term, we are focused on increasing our net investment income, specifically through our efforts to monetize certain noninterest-earning equity positions, including our investment in Pfanstiehl. We took advantage of favorable market conditions to extend the maturities of our debt, which we believe gives us operational flexibility over the coming years. We continue to focus on capital preservation, which is especially critical during these uncertain economic times. We believe our long- standing experience and investment discipline have served us well over the past 14 years. Since the beginning of 2011, the BDC has invested more than $2 billion with a cumulative net realized loss of just 3.5%, while generating attractive risk-adjusted returns on our portfolio. As always, we will continue to rely on the size, experience and reputation of our adviser. With a $4.1 billion corporate credit platform affiliated with a $30 billion asset management group, our adviser has broad expertise including long-standing banking and capital markets relationships. Our corporate credit platform has gone through multiple credit cycles over the last 25-plus years. Our adviser and affiliates are strongly aligned with the shareholders as they maintain an approximately 23% ownership in the company. With that, operator, please open up the call for questions.
Operator: [Operator Instructions] And this will conclude today's question-and-answer session. The conference has now also concluded. Thank you for attending today's presentation, and you may now disconnect.